Operator: Good day, ladies and gentlemen. And welcome to Wireless Ronin Technologies’ First Quarter 2011 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Erin Haugerud. Please go ahead.
Erin Haugerud: Thank you. And welcome everyone to our 2011 first quarter conference call. With me today are Scott Koller, President and Chief Executive Officer; and Darin McAreavey, Senior Vice President and Chief Financial Officer. After Scott’s opening remarks, Darin will provide a financial review and turn the call back over to Scott for a sales update and closing remarks. We will end the call by answering your questions. Today’s call will be an interactive webcast that will feature presentation slides of the first quarter 2011 results. To access the webcast, please visit the Investors section of our corporate website at www.wirelessronin.com. Please note that the information presented and discussed today includes forward-looking statements made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual results in future periods may differ materially and you should not attribute undue certainty to our forward-looking statements. Risks and uncertainties that could cause our actual results to differ from those expressed or implied by forward-looking statements include those set forth in the risk factors section of the annual report on Form 10-K we filed on March 22, 2011. In addition, our comments may contain certain non-GAAP financial measures, including non-GAAP operating loss per share, for additional information, including a reconciliation from GAAP results to non-GAAP measures. How the non-GAAP measures provide useful information and why we use non-GAAP measures please see the reconciliation section of our press release, which appears on our website at www.wirelessronin.com. Now, I’d like to turn the call back over to Scott.
Scott Koller: Thanks, Erin. Good afternoon, everyone and thank you for joining us on today’s call. Let’s get started with some highlights of our activities over the last three months. In Q1, we had sales of $2.4 million, a 123% increase in year-over-year performance and the largest first quarter in the company’s history. This growth was driven by a 264% year-over-year increase in sales of our RoninCast software. We also announced Sprint 4G teaming and co-marketing agreement, a relationship we believe significantly expands our sales presence and reach. We saw further expansion of the Chrysler iShowroom initiative with the addition of the FIAT product line, further evidence of Chrysler’s confidence in our ability to execute our technology and our people. And we continued to grow our presence in the food service industry with the RoninCast (inaudible) for the Johnny Rockets digital signage program, adding another key relationship in our growing list of clients in this very important vertical. In addition, the company has completed four months of strategic planning and internal assessment with Howe Associates. This initiative has resulted in an emerging strategic plan designed to increase customer value and accelerate our ability to grow Wireless Ronin Our technology roadmap that can differentiate and provide a competitive advantage and support our new strategic initiatives and an optimized organization with improved processes that has greatly enhanced our ability to scale as required to meet customer expectations. I will be back to provide a sales update and closing remarks after Darin reviews the financials. Darin?
Darin McAreavey: Thanks, Scott and good afternoon, everyone. As Scott stated, we reported revenue of $2.4 million for the first quarter of 2011, a 123% increase from $1.1 million in the first quarter of 2010. As of March 31, 2011, we had received purchase orders totaling approximately $600,000 that had not been recognized as revenue. The year-over-year increase in revenue was attributable to the sales of Chrysler and its network of dealerships promoting all of its automobile brands with the iShowroom interactive application, most recently featuring the new FIAT 500. We also received orders for further enhancements to the iShowroom application and additional requests for content updates and new learning programs as part of Chrysler’s new 2011 lineup introduction. The remaining increase in sales, when comparing the first three months of 2011 to 2010, was due to an approximate 600% increase in orders of ARAMARK. Our recurring hosting and support revenue for the first three months of 2011 totaled approximately $400,000. On a GAAP basis, our first quarter of 2011 net loss totaled $2.3 million or $0.12 per basic and diluted share, representing an improvement from our net loss of $2.8 million or $0.16 per basic and diluted share a year ago. Our net loss during the first quarter over -- improvement over the same period in the prior year as the result of an increase in gross margin dollars of approximately $700,000, partially offset by an increase in operating expenses. Excluding one-time expenses and non-cash charges, the first quarter of 2011 non-GAAP operating loss totaled $1.8 million or $0.09 per basic and diluted share versus a non-GAAP operating loss of $2.4 million or $0.14 per basic and diluted share in the first quarter of 2010. Sequentially, our non-GAAP operating loss increased by approximately $600,000. The primary reason for the sequential increase in our non-GAAP operating loss was due to lower sales, front loaded trade show expenses, along with additional one-time consulting costs. As a result, we believe our operating costs will be lower for the second quarter of 2011. Included in today’s earnings release and financial results is a reconciliation between the GAAP and non-GAAP operating loss. This highlights one way in which we look at profitability and cash utilization for the company. It is similar to EBITDA, but adjusted for certain other one-time and non-cash items. The supplementary schedule details the items and effects of non-cash and one-time adjustments. Turning to the balance sheet. At the end of the first quarter 2011, cash and cash equivalents in combination with restricted cash totaled approximately $5.6 million, compared to $7.1 million at the end of December 2010. The declining cash from the prior year end reflected the contingent funding of the company’s losses during the first quarter of 2011. As previously mentioned, in January of 2011 we renewed our $2.5 million line of credit with Silicon Valley Bank to March of 2012. I’d like to turn the call back over to Scott.
Scott Koller: Thank you, Darin. Let’s start with an update on Chrysler. Orders and installations continued with Chrysler throughout Q1 and we hit a major milestone with just over 1,000 screens installed and online. This includes Chrysler, Jeep, Dodge and Ram brands, as well as Chrysler’s newest brand FIAT. The iShowroom solution continues to be a component for the new FIAT dealers opening in the U.S. In addition, we continued to receive orders for enhancements to the iShowroom application, content updates and engineering programs as part of Chrysler’s introduction of its 2011 product line. In an expansion of our normal activity with Chrysler, WRT has received an iPad application, developed an iPad application that enables Chrysler sales personnel to complete their training on their mobile devices. This is significant as it adds transparency to our strategic planning efforts in future direction. Moving to food service, as most of you are aware, the industry has been waiting to hear what the law and related regulations will require for nutritional information on menu boards. The new law applies to food establishments with 20 or more locations operating under the same name. This includes restaurants, bakeries, takeout/delivery establishments, grocery stores and cafeterias. The calorie information must appear in the same size, font and color of either the name of the product or the price, whichever is smaller and the new federal law will preempt all existing state and local menu labeling laws. As for timing, the law is open to public comment to the FDA until June 6th, 2011 and it is expected that the FDA will adopt final rules within six to 12 months and companies will have six months to comply following final rule adoption. Equally important are anticipated additional requirements. The rate of children living with allergies is increasing and today the law requires that packaged foods must label the top eight allergens. We expect allergen labeling will be an additional menu requirement in the future. As the complexities of the nutritional labeling law become clearer, it crystallizes the business case for digital signage and the necessity of effective menu board day-parting and space management. We expect that it will also affect both our clients' short and long-term menu board planning and accelerate the need for a digital solution. Our clients and the food service arena as a whole understand that these requirements are coming and they continue to see that digital signage provides the best solution for the long-term management of their menu boards. As previously mentioned, our newest client in the food service space is Johnny Rockets. Johnny Rockets is an international restaurant chain with approximately 300 locations. We are responsible for program implementation and management and branded store projects using digital signage, which is anticipated to be a multiyear implementation effort. Like every other QSR in the space, Johnny Rockets went through a detailed process to select a digital signage vendor. We successfully navigated through that process and inspired the confidence that we could successfully launch, manage and support Johnny Rockets digital signage initiatives. We continue to make progress in the QSR and fast casual restaurant vertical. Our clients, including ARAMARK and KFC, are following the nutritional labeling law developments closely and pursing ongoing digital menu board initiatives with Wireless Ronin. Now, I'd like to expand on our new relationship with Sprint. Wireless Ronin has entered into an teaming and co-marketing agreement with Sprint. The Wireless Ronin and Sprint Solution will leverage our digital signage market presence, technology, content engineering and network support along with Sprint's 4G data connectivity system. This combination offers a very robust, flexible and economical solution. By using the Sprint 4G network with RoninCast software, the customer can run a system parallel with his business network, thereby limiting IT integration requirements. The combined expertise of Wireless Ronin and Sprint will enhance customer value by offering clients an easily implemented solution to drive measurable business results. As mentioned in my opening statements, this relationship expands our sales presence, enabling us to reach more customers through Sprint's new and existing relationships. Prior to closing, I would like to share a recent industry update. According to the 2011 Digital Signage Future Trends report by Digitalsignagetoday.com, the largest percentage of respondents, nearly 24%, said they expect to spend between $100,000 and $1 million in the next two years on digital signage, while nearly 16% said they expect to spend more than $1 million, which is more than double the percentage from two years ago. I believe this is significant as it highlights that customers are moving past testing initiatives and into larger scale rollouts and once again confirms that mass adoption of digital signage is not a matter of if, but a matter of when. In closing, I want to circle back to my opening statements. We have successfully completed four months of strategic planning and internal assessment with Howe Associates. As indicated earlier, this initiative has resulted in an enhanced strategic plan designed to increase customer value and accelerate our ability to grow Wireless Ronin. As demonstrated in our work with Chrysler, we can deliver digital media content in a variety of ways, from managing the iShowroom microsite on Chrysleracademy.com to the in-store dealership kiosk program and more recently development of the iPad application. IShowroom content can now be delivered and updated through three unique applications, Web, kiosk and mobile. And more importantly, Chrysler is not alone in this desire to have one platform to execute on several different marketing technologies. Enhancing customer value by providing a complete solution for digital marketing is the backbone of our new strategic plan. With this strategic direction, we can leverage our digital signage technology assets and great customer loyalty to provide even greater value to our current and future customers. Over the last few weeks, we have consulted several key customers for feedback and received tremendous validation of our approach, giving us confidence that the strategic direction we are developing will differentiate Wireless Ronin and align our offerings with our customers' marketing technology needs. At our annual shareholders' meeting in June, we will discuss the strategic initiative. Also at the time of the annual shareholder meeting, we will launch a new website that will present additional details regarding our strategy. This year's meeting will be hosted in our offices in Minnetonka. And I would like to encourage all investors that are capable to attend. I believe it will be time well spent. Continuing on the investor relations front, we'd like to remind you that Darin and myself will present at SEVEN, Noble Financial Capital Markets seventh annual equity conference at the Hard Rock Hotel in Hollywood, Florida on May 16th and 17th. We are dedicated to enhancing Wireless Ronin's credibility by meeting both client and investor expectations, it's our highest priority. We have an impressive list of loyal customers that we believe will continue to expand our pipeline and accelerate our growth. As we work hard to grow our business, key customers like Chrysler, ARAMARK, KFC and Thomson Reuters continue to have confidence in our ability to meet their expectations both today and into the future. We continue to push ourselves to optimize our organization, improve our processes and reduce our expenses. And we are committed to technology by continuously improving our RoninCast product line through innovation and development. Thank you for your time today. I hope to see you at our annual shareholders' meeting. And I will now open the call to questions.
Operator: Thank you, sir. (Operator Instructions) Our first question comes from Ryan Wright with Northland Capital Market.
Ryan Wright – Northland Capital: Hey guys. First just relating to the Chrysler impact in the first quarter, could you go into a little bit more detail in terms of what kind of revenue impact and maybe how many installs there were actually in the first quarter from Fiat?
Scott Koller: Yeah, Ryan. Real quick, there were 92 FIAT dealers that were part of the first quarter initiative. And I think you have seen in the press release that they have publicly announced 117 dealers and up to 170 dealers will carry the FIAT product line.
Ryan Wright – Northland Capital Markets: Okay. And so, was that the -- all of that revenue from that first 92 order recognized in the first quarter, then?
Scott Koller: Yes, sir.
Ryan Wright – Northland Capital Markets: Okay, excellent. And then, just going into a little bit more detail on the Sprint relationship, is there -- I know you said that there's expanded sales presence there. But, is there anything real material in the pipeline in terms of projects that are being looked at more closely?
Scott Koller: Yeah. We're in the very beginning stages of the relationship, but yes we've presented multitude of their salespeople and their sales managers our technology, our offerings and what we're capable of accomplishing with the 4G network. I'm excited about this relationship, as it's very tangible, it's not just a relationship where we say let's go out and sell together. We have an initiative to combine our software and services with their 4G network, which is a high priority on their list to establish a big footprint in the U.S. So, they're taking this entire initiative to their existing customers and new customers to help broaden their presence and expand their sales of the 4G network. And we would be able to complement that.
Ryan Wright – Northland Capital Markets: Okay, excellent. And correct me if I'm not quite sure on -- is it exclusive agreement?
Scott Koller: It's not exclusive. Sprint does very few exclusive agreements; however, we are the digital science software of choice for the 4G initiative.
Ryan Wright – Northland Capital Markets: Okay, excellent. And then, just one final question with the continued cash burn here, do you see any concerns within the next couple of quarters or would there be any concerns with needing to raise additional capital?
Darin McAreavey: Well, I mean, it's obviously something we're keenly focused on and aware and we're going to take whatever measures we have to ensure that we're not going to be in a position to have this company have a going concern. So, certainly we're focused on it.
Ryan Wright – Northland Capital Markets: All right, excellent. Well, that's it for me. Thank you very much.
Scott Koller: Thank you, Ryan.
Darin McAreavey: Thanks, Ryan.
Operator: Our next question comes from Marco Rodriguez with Stonegate Securities.
Marco Rodriquez – Stonegate Securities: Good afternoon, guys. Thanks for taking my questions.
Scott Koller: Hey, Marco.
Marco Rodriquez – Stonegate Securities: I was wondering if you could provide a breakdown -- excuse me -- by revenues for Chrysler, ARAMARK and KFC.
Darin McAreavey: Yeah. So, I mean, Chrysler obviously no surprise was the majority of our revenue. They were almost $1.4 million of the total. And then, ARAMARK would have been the second biggest component of our revenue and they were approximately $500,000 and it fairly -- falls off fairly quickly after that. Thomson Reuters was a little over $100,000 for the quarter. Those would have been the primary big chunks of revenues this past quarter.
Marco Rodriquez – Stonegate Securities: Okay. So, you didn't see any installations with KFC this quarter?
Darin McAreavey: Yeah. We had eight installations during the quarter.
Scott Koller: We continue to do the remodels with them and new stores but there was only eight installations in Q1.
Marco Rodriquez – Stonegate Securities: Okay. And did I hear you correctly saying that you had a thousand units installed for Chrysler?
Scott Koller: Yes.
Darin McAreavey: We think so it’s over a thousand.
Scott Koller: Yeah. A little over a thousand.
Marco Rodriquez – Stonegate Securities: Okay. And refresh my memory here it's four per dealer, is that correct, four screens per dealer?
Scott Koller: There's a variety of different footprints. The branded towers are four per dealer, four 22-inch screens per dealer but there are other dealers that are just getting one 46-inch screen. So, there's a couple of different footprints that go in based on the dealer size and what brands they carry, so, I think you can -- I think we calculated the other day you can say about an average of three per dealer is what we're seeing.
Marco Rodriquez – Stonegate Securities: Okay. So then that would probably give us the numbers of how many dealers you've actually already penetrated?
Darin McAreavey: Yeah. So, prior to the first quarter, we had received orders for 200 dealers and that was 800 media players and screens. And then, in the first quarter we received enrollment forms for FIAT dealers of 92 and a total of media players and screens of 239.
Marco Rodriquez – Stonegate Securities: Okay. All right. And then, I was wondering if you could talk a little bit about the competitive environment here, if you're seeing anything changing, anybody else entering the market, pricing, anything of that nature.
Scott Koller: Nothing significant. I think that -- I think the biggest trend we see is with our customers, in QSR space specifically that they now know that the nutritional law is pending. They are going to have somewhere between the next 12 to 18 months to address the calorie information. And right behind that, we're starting to see evidence there's going to be other requirements, as we mentioned, allergens and addressing the top eight allergens. So, they're acutely aware that menu board management and putting up additional information on there is going to be required. We sat down with a previous employee of the FDA a lawyer and she said you just only need to look at where packaging labeling has gone and know that that type of requirement is going to be -- also have to be addressed on menu boards. So, pick up any type of packaging and turn over and see what they have to address and eventually you'll see that migrate to menu boards. That's the biggest trend we've seen. In addition, as we spoke to a little bit in the script, delivering content over a variety of different methods is also a trend that I think we'll add more clarity to.
Marco Rodriquez – Stonegate Securities: Okay. And then, can you provide a bit more of an update, you have the Johnny Rockets implementation going on. You also mentioned Taco Bueno and Mooyah Burgers late last year. Where do they stand in regard to the implementations and testing?
Scott Koller: They're beyond testing. Its incremental installations now those are not three huge QSR chains, so it's incremental as they remodel, as they open up new stores and as they go by market to market. So, it's not a large rollout per se with any one of those customers immediately, but it is incrementally growing.
Marco Rodriquez – Stonegate Securities: Okay. So, did you see any additional installations in this quarter for any of those?
Scott Koller: I don't think Taco Bueno or Mooyah, they’re certainly the Johnny Rockets' pilot kicked off?
Darin McAreavey: Right. Yeah.
Marco Rodriquez – Stonegate Securities: Okay. And so the pilots, are you done with all the installations for Johnny Rockets to do that pilot?
Scott Koller: We only had the initial pilot to put in. Yes, we are done with that and then we’ll go through the testing there. As I mentioned, we successfully navigated through the (inaudible) to get selected for that. We go through testing and then we’ll see what their next plans are for a rollout. I think one of the important things to highlight here is, although we weren’t expecting to see any kind of seasonality that’s usually associated with retail where between the holidays or Thanksgiving and Christmas there’s a significant slowdown. But what we did observe in late Q4 is that during the holiday period, we deal with a lot of very, very large customers and while they may not shut their stores down, there’s very little activity at those clients, a lot of vacation time and hard to move POs and processes through. So, we did see more seasonality than I thought we were going to, since a majority of our business is outside of retail. However, it was business that didn’t go away. It was just business that was pushed from fourth to first and then on to second. So, we still have a high degree of confidence of where we are going, but we did see more seasonality than I would have expected.
Marco Rodriquez – Stonegate Securities: Okay. And lastly, just a kind of a housekeeping item here. What was the cash flow from operations and CapEx for the quarter?
Darin McAreavey: That would have been -- the cash used in operating activities would have been approximately -- I think it’s like [$1.450]. And then, we had roughly $70,000 in CapEx…
Marco Rodriquez – Stonegate Securities: Okay. Thanks guys.
Scott Koller: Thanks.
Darin McAreavey: Thanks, Marco.
Operator: Our next question comes from Ty Lilja with Feltl & Co.
Ty Lilja – Feltl & Co.: Hi, guys. Thanks for taking my question.
Scott Koller: Hi, Lilja.
Ty Lilja – Feltl & Co.: I was wondering, in your discussions with restaurants for meeting these calorie count requirements, I was wondering if you had a sense of what the range of options we are looking at for meeting that is -- I assume that the menu board companies are offering something. I am just kind of wondering like what are the choices for them to meet this?
Scott Koller: There is really two choices and one of them I can subdivide. There’s static print like they have always done in managing space and making print smaller. The requirement is that it’s the same size, font and color as either the price or the name of the product, whichever is smaller. And static menus boards do have the ability to day-part with a crank or some kind of manipulation of the print itself in more of a mechanical format. And digital signage, those are really the only two options they have. They can’t go to an interactive kiosk that’s off to the side. They can’t post it off to the side. It has to be on the menu board and it has to be associated with the product. So, there’s really only two options. And I think one of the things that gives me a lot of confidence is we’ve talked to a few clients and rolling out a new menu board in a static form is anywhere from 25% to 40% of the cost of installing a digital installation. So, there should be a lot of incentive there to move to digital, specifically with the fact that if they roll out a static board and there comes additional requirements such as allergens, they are going to have to go through the process again. So, there’s really two options and that’s about it.
Ty Lilja – Feltl & Co.: Okay. And also, I was wondering if you could just kind of walk me through the process of getting orders from Chrysler. Like, how -- kind of with marketing iShowroom to the dealers, do you do anything around that or do they kind of drive that? Like, how does that work?
Darin McAreavey: Yeah. It actually takes two forms. The first is that it’s part of the branded tower initiative that they have for iShowroom right now. It’s corporate that’s initiating it and that’s part of the dealer standards program where they are soliciting the signup in the individual dealerships. And once they get to whatever level that they get to and to date it’s been at a 100 dealer mark, then they'll release an order to us. And there’s a blanket PO out there and they’ll just start releasing orders against that blanket PO. As far as the Fiat dealerships are concerned, they were pre-notified as part of their initiative of launching the Fiat 500 and establishing all these dealerships to deploy this technology, although we are soliciting individual dealer enrollment forms. And so, that’s really the two forms of how the orders come to us.
Ty Lilja – Feltl & Co.: Great. So you have some power to go out and look for orders from individual dealers and pick up -- ?
Darin McAreavey: Absolutely yes.
Ty Lilja – Feltl & Co.: Okay, sure. Okay. And then, with Fiat, I was wondering if you could just give me a sense of what the revenue per installation was like for you guys?
Darin McAreavey: Yes. The ASP is right around $8,500, on average.
Ty Lilja – Feltl & Co.: Okay. And that’s a bit lower than iShowroom, right?
Darin McAreavey: Correct. It’s about $10,000 ASP per dealer on the branded tower or salon.
Scott Koller: And Ty, that goes back to what I mentioned before, that some were getting four smaller screens and some are getting one larger one. The one larger one would be incrementally less than the four smaller ones.
Ty Lilja – Feltl & Co.: Okay, sure. So, it’s just kind of a mix issue there?
Scott Koller: Yeah.
Ty Lilja – Feltl & Co.: All right. Well, those were my questions. Thank you for --
Scott Koller: Great. Thank you very much.
Ty Lilja – Feltl & Co.: Yeah.
Operator: Thank you. Our next question comes from Oz Tangun with Patara’s Capital.
Scott Koller: Hey, Oz. How are you?
Oz Tangun – Patara Capital: Good. How are you? You have answered part of my question but I wanted to have a better sense on this, it looks like there is better clarity on FDA’s timeline. First of all, what do you guys think about this timeline and does it make it more real for your customers? What’s the response from the customers based on your discussions and I have one other follow-up?
Scott Koller: Sure. I am very encouraged by the timeline because it has become much more clearer to our clients that they are going to have to address it and that it will supersede any of the local laws, county and state laws. So, I am really pleased with it. Twelve to 18 months to plan a rollout, even if it was static, is a short timeframe. You are talking about thousands of locations for these clients. So, I am very encouraged by the timeline and you’ll see planning start happening sooner than later. But, I am encouraged by the timeline and confident that our clients understand there is a little bit more of a sense of urgency now.
Oz Tangun – Patara Capital: True. And you mentioned about the allergens and additional requirements. Is that something we’ll find out what those requirements are within the next six months after the comment period, or what do you expect and how do you see that playing into this?
Scott Koller: Yeah. The way it’s written it’s going to be an ongoing and really an ongoing initiative by the FDA to get information up on the menu board. I would expect that allergens aren’t as close as six months away. But, I would say under the same time period they have to get these menu boards out, they probably have 12 to 18 months before. But I can’t really get clarity on it, the FDA has really good clarity on it. All they’ve really done is map out where it’s going. And it’s going through then its arduous process of becoming law and implementation, as we’ve seen with the calorie count. But, it is coming and if you look at installing a digital systems with anywhere from a three to five year, warrant on it and life span, mostly five year, you would be very confident it would happen during that timeframe. So, instituting a print format where you know maybe in two, three years you are going to have to do another print format, where you wouldn’t have to anything new digital except redesign the content and it gives us some confidence that digital is the right choice.
Oz Tangun – Patara Capital: Okay. Thank you very much.
Scott Koller: Thank you.
Operator: (Operator Instructions) Our next question comes from Don McKiernan with Landolt Securities.
Don McKiernan – Landolt Securities: Thank you. Good afternoon.
Scott Koller: Hi, Don.
Don McKiernan – Landolt Securities: I’m curious about the QSR’s space. You’ve, I think, identified that you are working with certain number of the top 15 or top 10. What are those numbers and..?
Scott Koller: Six of the top 12 right now.
Don McKiernan – Landolt Securities: Six of the top 12.
Don McKiernan – Landolt Securities: Yes, sir.
Don McKiernan – Landolt Securities: Okay. And is there any movement competitively in any of that top 12 to some of our competition where you’ve lost an opportunity or maybe not or maybe having some come your way?
Scott Koller: There has been movement, stuff we have not been able to talk. There are some -- we are not the only software being tested in some of those initiatives for sure. They are very big companies with silos within them and we may be working with marketing and then overseas and they be working with somebody else, or even locally here in U.S. However, there is a fairly significant portion of them that we are working exclusively with during this pilot program. We haven’t seen attrition yet and it’s a fierce competition. There is a lot of people in the space presenting solutions in a variety of different manners. Even the static people are coming up with new ways to mechanically do it. So, it is a pretty tight business. However, we got to continue to do what we do. Each one of these endeavors, there’s an RFP. We’ve successfully navigated through several of them and w got to continue just to add value to these clients in a variety of different ways, which is sort of what we outlined in the script about marking technologies and different initiatives.
Don McKiernan – Landolt Securities: And with the size and scale and scope of some of these larger opportunities, they have to be getting close to a point where they have got to make a decision soon on what they are going to do. Is that correct?
Scott Koller: Absolutely. I would agree with you wholeheartedly.
Don McKiernan – Landolt Securities: Are you hearing any dates as to when you might -- some of those decisions might be made.
Scott Koller: Not specific dates. But, it’s really hard to give transparency to investors on them going from testing to -- we feel really good about the testing. Now, we need to install a few stores, so we feel really good about few stores, now let’s expand it. What we are seeing a lot of and this is what gives me a lot of confidence is, we have clients who are really starting to not just take their old menu board and turn it into a Flash and put it on a digital format. What we are seeing is that they are starting to really utilize the opportunities of doing more multiple day parts, because historically, you have breakfast, you have lunch, you have dinner and you have late night and that’s how your day part. But what the customers are seeing there, their lunch crowd on Monday varies greatly with their lunch crowd on Saturday and Sunday. And their after school crowd, from 2:30 to 4:30 varies greatly during the rest of the week. Specifically, trying to get an after school crowd into and $8 meal isn’t going to happen. So the highlight has to be $2 to $3 small meals So, what we are seeing is, okay, we’ve got digital up. We are piloting it. We had success with just taking what we had in static and turning it into a digital format. Now let’s really leverage the power of the technology and got a multiple day-parts. We have one client looking at as many as seven to eight unique day-parts while keeping every item on the menu board. So, it's just a matter of minimizing some and maximizing others at the right time based on what you think the demographic is going to be in the store. So, we're highly encouraged that it's way beyond just piloting to see how it looks in digital form. They're really starting to leverage the power of the technology.
Don McKiernan – Landolt Securities: One other question. Did you guys make some sort of comment a while back that you thought you might reach an EBITDA positive quarter or something like that? You had a goal or whatever?
Darin McAreavey: Yes. I mean, it's still our goal in 2011 to achieve a non-GAAP EBITDA break-even quarter. That is a goal of ours by the end of this year.
Don McKiernan – Landolt Securities: Okay. I hope you do it. Thank you.
Scott Koller: Thank you, Don.
Operator: Thank you. I’m showing no further questions at this time. I'd like to turn the call back over to management.
Erin Haugerud: I'd like to thank everyone for his or her participation on today's call. The dial-in information from domestic and international locations, along with the archived recording, can be found on our website at www.wirelessronin.com. Thank you and good-bye.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the conference and you may now disconnect.